Operator: Greetings and welcome to the Union Pacific's Fourth Quarter Earnings Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded, and the slides for today's presentation are available on Union Pacific's website. It is now my pleasure to introduce your host, Mr. Lance Fritz, Chairman, President and CEO for Union Pacific. Thank you, Mr. Fritz. You may now begin.
Lance M. Fritz: Good morning everybody and welcome to Union Pacific's fourth quarter earnings conference call. With me here today in Omaha are Eric Butler, Executive Vice President of Marketing and Sales; Cameron Scott, our Executive Vice President of Operations; and Rob Knight, Chief Financial Officer. This morning, Union Pacific is reporting net income of $1.1 billion for the fourth quarter of 2015. This equates to $1.31 per share, which compares to $1.61 in the fourth quarter of 2014. Another quarter of solid pricing gains were not enough to offset the 9% decrease in total volumes. Carload volume declined in five of our six commodity groups with coal and industrial products down 22% and 16% respectively. Automotive continued to be a bright spot for us in the quarter with the volume up 8% versus 2014. On the cost side, we continued to adjust resources throughout the quarter and also made solid progress with our productivity initiatives. We will hear the team talk about some of the highlights here this morning. As a result of these efforts we achieved a quarterly operating ratio of 63.2%. We continue to be laser focused on running a fluid and efficient network while safely providing value added service to our customers and delivering solid returns for our shareholders. So with that I’ll turn it over to Eric. 
Eric L. Butler: Thanks, Lance and good morning. In the fourth quarter, our volume was down 9%, with continued gains in automotive more than offset by declines in the other business groups. While we generated core pricing gains of 3.5%, but it was not enough to offset decreased fuel surcharge and significant mix headwinds as average revenue per car declined 8% in the quarter. Overall, the decline in volume and lower average revenue per car drove a 16% reduction in freight revenue. Let's take a closer look at each of the six business groups. Ag products revenue was down 12% on a 5% reduction and a 7% decrease in average revenue per car. Grain was down 12% in the fourth quarter. High worldwide production and a strong U.S. dollar reduced grain exports by 23%. Solid growth in domestic grain shipments partially offset the export decline. Grain products decreased 4% for the quarter driven primarily by softer export of soybean meal and DDG [ph] demand. Ethanol shipments were down 3% driven by lower exports. These declines more than offset a 14% increase that canola meal shipments due to another strong canola crop. Food and refrigerator product volumes were down 1% for the quarter as strength in the year was offset by declines in fresh and frozen food shipments. Automotive revenue was up 1% in the fourth quarter as an 8% increase in volume was largely offset by a 6% reduction in average revenue per car. Finished vehicle shipments were up 8% this quarter, driven by continued strength in consumer demand. 2015 annual sales of the U.S. were 17.5 million vehicles, levels last reached 15 years ago. This seasonally adjusted annual rate for the fourth quarter was 17.8 million vehicles, the fourth highest quarterly sales pace on record. On the parts side, strong vehicle production increases and a continued focus on over the row conversions to over 8% increase in volume. Chemicals revenue was down 7% for the quarter on a 2% reduction in volume and a 5% decrease in average revenue per car. Lower crude oil prices and unfavorable price spreads continued to impact our crude oil shipments which were down 42% in the fourth quarter. Partially offsetting this decline was continued strength in the LPG markets including Propolene, Propane, and Bueten demand. Finally petroleum products volume was down 6% primarily due to weaker residual fuel oil shipments as a result of a slowing in China’s production and export sectors. Coal revenue declined 31% in the fourth quarter on a 22% volume decline and 11% decrease in average revenue per car. Southern Powder River Basin tonnage was down 24% in the quarter as mild weather and low natural gas prices dampened coal demand. Temperatures in the fall was 3.3 degrees warmer than average and set a record for the lower 48 states. Coal inventory levels are 105 days through December, 39 days above normal, and 43 days above last December. Colorado, Utah tonnage was down 40%, driven again by soft domestic demand and reduced export shipments. Nationwide electricity generation by coal dropped from 37% market share in the fourth quarter of 2014 to 32% in 2015 as natural gas captured to share loss from coal. Industrial products revenue was down 23% and a 16% decline in volume and 8% decrease in average revenue per car during the quarter. Reduced rig counts and shale drilling resulted in a 42% decline in minerals volume, primarily driven by a 52% decrease in frac sand car loadings. Metal shipments were down 27% from softening industrial production, reduced drilling activity, and a strong U.S. dollar. Specialized markets were up 7% in the quarter driven by increased waste shipments. Intermodal revenue was down 14% in the fourth quarter and a 7% lower volume and an 8% decrease in average revenue per unit. Full year 2015 domestic intermodal achieved its seventh consecutive year of record volume. However, our fourth quarter results were down slightly as continued highway conversions were offset by the discontinuation of Triple Crown business and sourcing shifts. International intermodal volume was down 12% in the quarter in a challenging market environment primarily due to market volume headwinds for several of our ocean carrier customers. Imports in the Trans Pacific strait remained sluggish due to weaker than expected domestic U.S. retail sales. Let's move to how we see our business shaping up for 2016. In Ag products we expect high global grain inventories and the strong U.S. dollar to have a continued impact on the export environment. Food and refrigerator should continue to see growth in import beer. We expect soybean meal to have another strong export year but we will likely fall short of the record level reached in 2015. Turning to autos we expect low interest rates and gasoline prices to continue to positively impact demand driving both finished vehicles and part shipments. However, we are cautious as the auto sales sustaining these record levels. We expect the coal market will continue to be dampened by low natural gas prices and high inventory levels. As always weather conditions will continue to influence demand. In chemicals we expect most of our markets to remain solid in 2016 with particular strength in LPG markets. Low crude oil prices and unfavorable spreads will continue to present significant headwinds for crude by rail shipments. Fertilizer shipments will also be impacted by grain export headwinds. In industrial products, low crude oil prices will also challenge our minerals and metals volumes. We expect our lumber franchise to grow with demand from the slowly strengthening housing market and demand for construction products in specialized markets should be solid. In intermodal we anticipate highway conversions will continue to drive domestic intermodal volumes. However, high retail inventories and sluggish retail demand are expected to mute growth in our international intermodal volumes. Wrapping up, while the strong U.S. dollar, low energy prices, and sluggish retail sales will continue to drive headwinds and uncertainty in some of our markets, we are optimistic in others. Mexico continues to be an opportunity driven by energy reform and Mexico's autos manufacturing market. With our growth depending on both the national and global economy we will continue to strengthen our customer value proposition and develop new business opportunities across our diverse franchise. With that I will turn it over to Cameron. 
Cameron A. Scott: Thanks Eric and good morning. Starting with our safety performance of our full year reportable personal injury rate improved 11% versus 2014 to a record low of 0.87. Successfully finding and addressing risk in the work place is clearly having a positive impact as we achieve annual records on our way to an incident free environment. With respect to rail equipments incidents or derailments, our reportable rate increased 14% to 3.42, driven by an increase in yard and industrial reportables. While our reportable rate took a step backwards in 2015, we are confident that our strategy aimed at eliminating human factor incidents and hardening our infrastructure will lead to improved results going forward. In public safety, our grade crossing incident rate improved 3% versus 2014 to 2.28. We continue to focus on reinforcing public awareness through community partnerships and public safety campaigns to drive improvements in the future. Moving onto network performance, after making a step function improvement in our operating metrics during the third quarter we have continued to make solid incremental progress. As reported to the AAR, velocity and terminal dwell improved 13% and 5% respectively when compared to the fourth quarter of 2014. Record fourth quarter velocity of 27 miles per hour was at the best ever at a level of volume handled during the quarter. In fact the last quarter we ran at this velocity was six years ago when our network was handling 7% fewer car loads. The strength and resiliency of our network allowed us to mitigate the impact from flooding events in the Eastern portion of our network during late December thereby minimizing service delays to our customers. But while we have made significant improvement in our metrics we know there is still more work to do as the team continues a relentless approach to further improve service and reduce cost. While we noted back in October that our resources were more closely in line with demand at that time, further declines in volume prompted us to make additional resource adjustments in the fourth quarter. In addition to adjusting to lower volumes, our improvement in network performance has translated into fewer recruits, lessening resource demands of our network. By the end of the year, we had around 3,900 TE&Y employees either furloughed or an alternative work status compared with 2,700 at the end of the third quarter. Overall, our total TE&Y workforce was down 18% in the fourth quarter versus the same period in 2014. Around half of this decrease was driven by fewer employees in the training pipeline. Our active locomotive fleet was down 13% from the fourth quarter of 2014. As always, we'll continue to adjust our workforce levels and equipment fleet as volume and network performance dictates. In addition to efficiently rightsizing our resource base, we also realized gains on other productivity initiatives such as train length. While we are unable to overcome the volume decline within intermodal, we ran record train lengths in all other major categories. We were also able to generate efficiency gains within terminals as productivity initiatives led to record terminal productivity even with an 8% decline in the number of cars switched. In addition to process improvements, capital investments have also enhanced our ability to generate productivity and increased the fluid capabilities of our network. In total, we invested $4.3 billion in our 2015 capital program. For 2016, we are targeting around $3.75 billion pending final approval by our Board of Directors. More than half of our planned 2016 capital investment is replacement spending to harden our infrastructure, replace older assets and to improve the safety and resiliency of the network. The plan includes 230 locomotives as part of a previous purchase commitment. This commitment wraps up with the acquisition of an additional 70 units in 2017. We also plan to invest an additional $375 million in positive train control during 2016. In summary, we finished 2015 on a solid note. In 2016 we are carrying that momentum forward as we continue to focus on those critical initiatives that would drive future improvement. Above all, this includes safety, where we expect once again to yield record results on a way towards zero incidents. In the face of uncertain volume environment, we will continue to adjust our resources to demand while also focusing on other productivity initiatives to further reduce costs. And where growth opportunities arise, we will leverage that growth to the bottom line to increase utilization of existing assets. As a result, we will create value for our customers with an excellent customer experience. With that, I will turn it over to Rob.
Robert M. Knight, Jr: Thanks and good morning. Let's start with a recap of our fourth quarter results. Operating revenue was just over $5.2 billion in the quarter, down 15% versus last year. Significantly lower volumes and even more challenging business mix and a negative fuel comparison more than offset solid core pricing gains achieved in the quarter. Operating expenses totaled just under $3.3 billion, decreasing 13% compared to last year. Significantly lower fuel expense along with volume related reductions and productivity improvements drove the expense reduction. The net result was a 19% decrease in operating income to $1.9 billion. Below the line, other income totaled $28 million, down $43 million versus the previous year, primarily driven by 2014's real estate gains. Interest expense of $164 million was up 12% compared to the previous year, driven by increased debt issuance during the year. Income tax expense decreased 23% to $665 million, driven primarily by lower pretax earnings. Net income decreased 22% versus 2014 while the outstanding share balance declined 4% as a result of our continued share repurchase activity. These results combined to produce quarterly earnings of $1.31 per share, which fell well short of last year's record $1.61 per share. Now turning to our top line, freight revenue of approximately $4.9 billion was down 16% versus last year. Volume declined 9% and fuel surcharge revenue was down $438 million when compared to 2014. All in, we estimate the net impact of lower fuel price was $0.11 headwind to earnings in the fourth quarter versus last year. And keep in mind we did report a $0.05 positive fuel benefit in the fourth quarter of 2014. This includes the net impact from both fuel surcharges and lower diesel fuel costs. As we expected, a challenging business mix did have a negative impact on freight revenue in the fourth quarter. The primary drivers of this mix shift were significant declines in frac sand, steel shipments, and bulk grains partially offset by a decline in international intermodal volumes. A 3.5% core price increase was a positive contributor to freight revenue in the quarter. Slide 22 provides more detail on our pricing trends. Pricing continued to be solid throughout 2015 and represents the strong value proposition that we provide our customers in the marketplace. Of the 3.5% this quarter, about 0.5% can be attributed to the benefit of the legacy business that we renewed in 2015. With the exception of a few smaller contracts in the out years, 2015 marks an end to any further legacy re-pricing opportunities. Moving on to the expense side, slide 23 provides a summary of our compensation and benefits expense which decreased 5% versus 2014. The decrease was primarily driven by lower volumes and improved labor efficiencies. Labor inflation was around 4% in the fourth quarter driven primarily by agreement wage inflation. Looking at our total workforce levels our employee headcount declined 7% when compared to 2014. Reductions in TE&Y, training related activities, as well as employees associated with capital projects all contributed to the workforce decline. At this point in time given current volume levels we are being very cautious with our hiring plans for 2016. On average for the year we would expect overall force levels to be down somewhat depending of course on how volume ultimately plays out for the year. Labor inflation is expected to come in around 2% for the full year. This is driven primarily by agreement wage inflation, partially offset by lower pension expense. This is also consistent with our all in inflation expectations in the 2% range for the full year. Turning to the next slide, fuel expense totaled $424 million down 48% when compared to 2014. Lower diesel fuel prices along with a 14% decline in gross ton miles drove the decrease in fuel expense for the quarter. Compared to the fourth quarter of last year our fuel consumption rate increased 1% driven by negative mix while our average diesel price declined 39% to $1.61 per gallon. Moving onto to our other expense categories, purchase services and material expense decreased 11% to $589 million. The reduction was primarily driven by lower volume related expense and reduced repair cost associated with our locomotive and car fleets. Depreciation expense was $517 million, up 6% compared to 2014. In 2016 depreciation expense is expected to increase slightly compared to last year. Slide 26 summarizes the remaining two expense categories. Equipment and other rents expense totaled $305 million, which is up 3% compared to 2014. Lower volumes and improved cycle times were more than offset by a favorable one time item in 2014. Other expenses came in at $235 million, up 3% versus last year. Higher state and local taxes and increased personal injury expense were partially offset by a reduction in general expenses. Other expenses for the full year were flat when compared to 2014 consistent with our full year guidance. For 2016, we expect the other expense line to increase between 5% and 10% excluding any large unusual items. Turning to our operating ratio performance, the fourth quarter operating ratio came in at 63.2% and 1.8 points unfavorable when compared to the fourth quarter of 2014. For the full year I am pleased to report an operating ratio of 63.1 which is 0.4 points improvement from 2014. Even with the sharp decline in volumes, right sizing our resources to current demand, ongoing productivity initiatives and solid core pricing have all been key drivers to improving our overall margins. Slide 28 provides a summary of our 2015 earnings with a full year income statement. Operating revenue declined about $2.2 billion to $21.8 billion. Operating income totaled almost $8.1 billion, a decrease of 8% compared to 2014. And net income was just under $4.8 billion while earnings per share were down 5% to $5.49 per share. Turning now to our cash flow, in 2015, cash from operations totaled more than $7.3 billion down slightly when compared to 2014. After dividends, our free cash flow totaled $524 million for the year. This was down just under $1 billion from 2014 primarily driven by lower earnings along with higher cash capital and dividend payments. This includes the two dividends that we incurred in the first quarter of 2015 resulting from the timing change in our dividend payments. As expected the net impact of bonus depreciation on 2015 cash flow was close to neutral as the benefit from 2014 bonus depreciation offset cash tax payments associated with prior years. Taking a closer look at 2016 we will see the benefit from both 2015 and 2016 bonus depreciation since the legislation was passed just before year end. We are factoring in the two years worth of benefit in 2016 against payments from prior years, the expected net impact from bonus depreciation will be a tailwind of roughly $400 million on this year’s cash flow. Slide 30 shows our 2015 capital program of $4.3 billion. And as Cam just mentioned we are targeting a capital plan in 2016 of about $3.75 billion pending final approval from our Board of Directors in February. This would be a reduction of over $500 million from last year’s capital program. The chart on the right shows the returns on these investments over the last few years. Return on invested capital was 14.3% in 2015 down 1.9 points from 2014 driven primarily by lower earnings. Taking a look at the balance sheet, while cash from operations was down slightly year-over-year we increased our balance sheet debt by 24% resulting in an all in adjusted debt balance of about $17.4 billion at year end 2015. We also finished the year with an adjusted debt to EBITDA ratio of 1.7 which increased from 1.4 at year end 2014. Longer term we are continuing to target a debt to EBITDA ratio of less than 2 times. While we did increase our debt levels to reward shareholders, we also maintained a strong balance sheet which is a valuable asset particularly in the face of economic and strategic uncertainties. In 2015 share repurchases exceeded 35 million shares and totaled about $3.5 billion up 7% from 2014. Over the past five years, we have repurchased 15% of our outstanding shares. Adding our dividend payments and are share repurchases we returned more than $5.8 billion to our shareholders in 2015. This represents roughly a 20% increase over 2014 continuing our strong commitment to shareholder value. So that’s a recap of our fourth quarter and full year results. Looking ahead to 2016, we do have some significant hurdles. Our energy related volumes will continue to be a challenge. Compared to last year's strong first quarter we expect this year's first quarter coal volumes to decline around 20% or so. And given the headwind we currently see with coal it is likely that total volumes for the first quarter will be down in the mid single digits. For the full year we currently expect total volumes to be slightly negative depending on coal and the strength of the overall economy as the year plays out. Fuel prices will have a negative impact on earnings at least in the first quarter given the $0.08 positive fuel benefit that we reported in the first quarter of 2015. While it is still early we are preparing ourselves for volume and mix pressures particularly in the first quarter and likely throughout March of 2016. We are counting on record productivity and solid pricing to drive an improved operating ratio again this year as we work towards our longer term operating ratio target of 60% plus or minus on a full year basis by 2019. And as always no matter what the environment we remain committed to running a safe, efficient, productive railroad for our customers while generating strong returns for our shareholders. So with that I will turn it back over to Lance. 
Lance M. Fritz: Thanks Rob, and as we discussed today this past year was a difficult one in many respects. But our team did outstanding work in the face of dramatic declines in volumes and shifts in our business mix. Overall economic conditions, uncertainty in the energy markets, commodity prices, and the strength of U.S. dollar will continue to have a major impact on our business this year. However, our velocity is at an all-time best for the current level of demand. The network is fluid, and we are driving towards further improvement. We are well positioned to efficiently serve customers in existing markets as they rebound. The strength and the diversity of the Union Pacific franchise also will provide tremendous opportunities for new business development as both domestic and global markets evolve. When combined with our unrelenting focus on safety, productivity, and service these opportunities will translate into an excellent experience for our customers and strong value for our shareholders in the years ahead. So with that, let's open up the line for your questions.
Operator: Thank you. [Operator Instructions]. Our first question is from the line of Rob Salmon with Deutsche Bank. Please go ahead with your question.
Robert Salmon : Hey good morning and thanks for taking the question. Rob, with regard to your comments about the legacy pricing, further we saw about half a point in the fourth quarter. When you re-priced some of the legacy contracts, you had pulled forward some from 2016, should we still be considering some sort of incremental benefit in 2016 to the core pricing metric as we look out or should that effectively be zero for next year?
Robert M. Knight, Jr: Yeah, I would say, basically, effectively zero. I mean, there might be a tad bit of little carryover, but I think for your modeling purposes, those are pretty much behind us.
Robert Salmon : Got it. And then I guess shifting gears Eric to the intermodal segment, you had called out some headwinds in the fourth quarter related to Triple Crown and some sourcing ships. Can you kind of quantify how we should be thinking about that Triple Crown headwind for 2016 or your quad specifically, the volume challenge that you guys saw and should those sourcing ships that we saw in the fourth quarter continue to weigh on intermodal load growth for the domestic volumes as we look out?
Eric L. Butler: Yeah, Rob. As we indicated, we still we always expect our highway conversion strategy which we are firmly focused on to continue to drive growing domestic intermodal volumes. And so, we continue to see growing domestic intermodal volumes despite headwinds from Triple Crown and other things that occur all the time. We do expect as I called out to see headwinds on the international intermodal side, just because of all of what's going on with the trends in simple [ph] trade in the China markets. But on the domestic intermodal side, we continue to see our strategy working, which is growing volumes through highway conversions.
Robert Salmon : Got it, appreciate the color.
Operator: Our next question comes from the line of Brandon Oglenski with Barclays. Please proceed with your questions.
Brandon Oglenski : Yeah, good morning everyone and thanks for taking my question. Lance or Eric, I mean, can you guys just give us some context here because I have only been covering the industry for about a decade, but the volumes seem pretty bad right now. I mean, maybe not quite as bad as 2009 and yet we are still getting jobs growth in the U.S. So how do you look at the environment right now? Is the U.S. headed into a broader recession or is this just limited to energy and industrial and other specifics in your business that maybe look worse than the broader economy?
Lance M. Fritz: Brandon, this is Lance. The impact on all railroad has been acute as you point out in energy, in commodities affected by the strong dollar like export grains, steel markets, and those are not necessarily indicative of a broader U.S. reality. I will share with you though there is also questions that we have about U.S. consumers. There are indicators that the consumers are healthy like the unemployment rate is at a comfortable 5% level, the consumers are buying automobiles as Eric outlined. But labor participation rate isn’t that great and fourth quarter retail sales for goods was not that great. So I will let Eric give you a little more technicolor.
Eric L. Butler: Yes I am not sure there is much else I would add to that. I would say the consumer is spending, there is consumer confidence, household income is going up. There appear to be a shift between consuming on products or goods, spending on services. There does appear to be that shift so it does some of the changes is impacting our business and the industrial space. 
Lance M. Fritz: Yes Brandon one last thing, early in the year we talked about the impact on energy from low natural gas prices and the effect on coal, the effect on crude oil and natural gas exploration to development and we said ultimately that should be a benefit to other industries we serve like plastics manufacturing and consumers. And we just haven't seen yet the offset, the positive offset from the headwinds that we’ve experienced. 
Brandon Oglenski : Well I know it’s difficult for a lot of investors on the line here too. Well Rob can you talk a little bit about the outlook for an improving operating ratio? What are the big drivers here especially with the uncertainty in volume?
Robert M. Knight, Jr: Yes the big driver, I mean volume obviously is our friend and I guided as you picked up that we expect full year volume to be slightly down. We’d obviously like to see that improve from there but given that slightly down sort of view of the world and a positive improving operating ratio is our conviction around our ability and our focus on continuing to drive productivity and our ability to continue to provide quality service to our customers enables us to get price in the marketplace. 
Brandon Oglenski : Okay appreciate it. 
Operator: Our next question is from the line of Chris Wetherbee with Citigroup. Please proceed with your questions.
Chris Wetherbee: Hi there, good morning. Want to touch a little bit on the outlook or stay on the outlook for 2016. Rob, I know you don’t give earnings guidance specifically but if you can get sort of slightly down volumes, you have an improving OR, mix is going to be negative certainly in the first quarter or so of the year, I mean how do we think about the other puts and takes that potentially sort of impact that whether you are sort of flat to down or flat to up, I am just trying to make sure I understand how much you can control on the expense side to maybe offset some of this negative mix that we are expecting?
Robert M. Knight, Jr: Chris, I mean and the reason that I am not giving earnings guidance is because of all those unknowns. We are confident we can control what we can control which again is the productivity, quality of service, continue to drive positive price but there is so much uncertainty at this point in time in terms of what the absolute volumes will be and what the mix of those volumes will play out. So, that’s why we are not at a position right now to give earnings guidance but I assure you we are focused on driving improvement on every aspect that we can and we certainly would like to see as positive results as we can drive.
Chris Wetherbee: Okay and then maybe just to follow up on that, in terms of the expense side what you can control you talked about headcount a little bit in the outlook and I think you said it would be down a bit, I guess you are entering the year with it down little bit more than that and kind of trying to chase that volume number down, I mean how do we think about sort of headcount for the full year in a little bit more detail?
Robert M. Knight, Jr: I mean Chris, as we’ve said all along and I’ll say it here again for 2016 is that volume will drive what our headcount ultimately is although there is still productivity. So volumes are slightly down. I would expect that we would have down headcount driven by volume and layering on our expectation of driving further productivity. So it will flow with directionally with what volume is but we are very focused getting to see what the mix actually plays out, very focused on driving productivity in those numbers and being as efficient as we can. 
Lance M. Fritz: Chris we outlined for you the expectations for volumes in the first quarter in a few specific areas. I would say we are in a much better posture entering 2016 from a realizing productivity in a headcount perspective, getting the resources right for the volumes than we were entering 2015. We are just in a very different place. 
Chris Wetherbee: That’s helpful, thanks for the time, appreciate it?
Operator: The next question is from the line of Allison Landry with Credit Suisse. Please go ahead with your questions.
Allison Landry: Good morning, thanks. So following up on the previous question, how much of a volume decline do you think that you can handle while still generating positive earnings growth. You did mentioned expectations for a slight decline but if car load has tracked down 5%, 6%, 7% is that sort of where you are thinking about the tipping point?
Robert M. Knight, Jr: Allison, this is Rob. I mean I can’t give you and not giving guidance on the earnings. So I mean I get the point of your question but really the driver will be what's the mix, what volumes actually move, and etc. But I can just assure you that there is obviously a tipping point at some point, if that were to go so negative it would flip the other -- flip negative. But we are going to squeeze out productivity and continue to drive price where we can and so I can’t give you a direct answer as to where that tipping point is. But we are focused on regardless of what the volume is on controlling what we can and driving positive OR and earnings.
Allison Landry: Understood, thanks. And then my second question would be what your expectations for overall cost inflation are for 2016? Thank you.
Robert M. Knight, Jr: Yeah, as I said Allison, overall inflation assumptions for us in 2016 are around 2%.
Allison Landry: Okay, excellent. Thank you.
Robert M. Knight, Jr: Yeah.
Operator: Our next question is from the line of Scott Group with Wolfe Research. Please go ahead with your question.
Scott Group : Hey thanks, good morning guys.
Lance M. Fritz: Good morning Scott.
Scott Group : Rob, just wanted to clarify a few things that you said. In terms of headcount down slightly or something like that, I mean, we're going to be starting the year down 9% or so year-over-year. Are we talking about down slightly from kind of where you are ending the year at that 44, 45 level?
Robert M. Knight, Jr: Basically that guidance or that view of the world Scott, that where I say it’s slightly down is a year-over-year assumption at this point in time. And again full year. And again, what will drive that is what the ultimate volumes end up being.
Cameron A. Scott: Scott, just a little point of detail. At the tail end of many years, there is a lot of moving parts that affect headcount, the absolute headcount number. But the average is the one that’s most useful.
Scott Group : Are you thinking about adding headcount from where you are right now because if you take where you are right now, I mean it should imply pretty meaningful drop in headcount?
Cameron A. Scott: We are going to continue to match headcount to whatever the volume situation is. The other thing to note is headcount comes in and out on capital programs as for instance in the winter time we start shutting down capital spend because of the weather and spooling it backup in the spring. There is just a lot of moving parts quarter-to-quarter sequentially.
Scott Group : Okay. In terms of pricing, wanted to ask, so I think BN has talked about giving up some price to incent some coal demand. Are you guys doing anything similar like that and maybe if you can talk overall on pricing, it sounds like you expect solid pricing in 2016. Is it reasonable to expect some kind of deceleration in the pricing environment, just given what the volumes are doing or can we -- do you think we can hold steady around this 3% range actual legacy?
Eric L. Butler: Hey Scott, this is Eric. So I cannot speak to what the BN does with pricing strategy. They do their own independent strategy and I cannot speak to what they do. We continue to hold on our strategy of pricings for our value. We are driving a value proposition that we want to be an industry superior value proposition and we are going to price accordingly for that. We do think that there are places in the market and the economy that are growing and we think that those provide value for us to continue to price according to our long held strategy.
Scott Group : Okay, alright. Thank you, guys.
Operator: Our next question is from the line of Alex Saraci with Morgan Stanley. Please go ahead with your questions.
Alex Saraci : Good morning and thanks for taking the questions. Rob, I know you didn’t give explicit earnings guidance, but in the past two years you had noted in your slide deck record earnings and that was note -- that kind of was notably absent this time around. So I just want to confirm that we should interpret the lack of that expectation for record earnings to be what it is, that you won’t at this point you do not expect to achieve at least the $5.75 in earnings per share that you achieved in 2014, which was the last record. I just want to confirm, you are essentially expecting this year to be below that figure?
Robert M. Knight, Jr: That is correct. Now nothing would please us more than to see the economy turn and things are going to go favorable. So we are going to fight like heck to do the best we can. But yes, you are correct. At this point in time, we do not see record earnings.
Alex Saraci : Okay, that’s helpful. And then, just to touch back on the pricing discussion, you noted that you expect inflation to be 2% in 2016. In the past, you've always kind of suggested nominal pricing, above inflation. Is that still your expectation for 2016 to achieve pricing above that 2% inflation level?
Robert M. Knight, Jr: Yes. But as you know, we don’t set our prices based on what current year inflation numbers are. And as has been pointed out we’ve discussed here today we priced the market. Every market is a little bit different. We clearly don’t have the benefit of the calling half point legacy renewal that we’d enjoyed in 2016 but having said all of that yes we are still focused on pricing above inflation. 
Alex Saraci : Okay, that’s helpful. Thanks very much for the time. 
Operator: The next question is from the line of Tom Wadewitz with UBS. Please go ahead with your questions. 
Thomas Wadewitz: Yes, good morning. I wanted to ask you a little bit about the volume side. So you commented on first quarter and I think Eric in his slide with the 2016 outlook gave us the view by segment. If I look at that view by a segment it is either kind of plus and minus or I guess for coal it is minus, minus. But it seems like by segment it is pretty negative but on a full year basis you are saying it is down only slightly. So I assume slightly is not down 3 or 4, its maybe down 1 or 2. What -- how do you kind of bridge those two together? Is it just the function of the comps get so much easier in second quarter or are you expecting kind of adjusted for seasonality improvement in demand later in the year or how do you put those two together because it kind of by segment looked a little more negative than the comment about a slight decline on a full year basis?
Robert M. Knight, Jr: Let me just start off and Eric may want to comment further and to maybe more specific, but this is Rob. I would just say that Tom to your point we clearly are highlighting and as you know that the comps particularly, the first quarter is particularly challenging and that’s why we are calling out the down volume in the first quarter in coal clearly you know 20% or so range. So the comps do change throughout the year but our view of the world right now is that the energy environment which impacts our coal impacts our shale impacts our metals. It supports the shale activity on top of the continuing strong dollar. Those are going to continue to be hurdles and pressures for us. But the comps do change as the year plays out and I think that’s what's driving sort of maybe the math that you are wrestling with. 
Lance M. Fritz: Eric you got anything else to add?
Eric L. Butler: No, that’s it. 
Thomas Wadewitz: So you would say it is more comps than anticipation of improved market later in the year?
Robert M. Knight, Jr: I’d say that’s a bigger driver. 
Thomas Wadewitz: Okay, I appreciate that. What about mix? If I look at your slides in third quarter mix I think it was a 1% year-over-year headwind and that got a lot more challenging in fourth quarter which I think was the big thing we missed in our assumptions for fourth quarter with that 4% mix headwind. I know it’s a tough one to forecast but do you think mix in 2016 is more like the 4% or more like 1%, that’s a pretty material consideration?
Robert M. Knight, Jr: Tom, this is Rob again. I would say again as you know we don’t and is very difficult, in fact frankly impossible to precisely predict exactly what mix is going to be. But I would say just sort of directionally if you look at the full year mix impact in 2015 it was about 1.5 negative and you are right, the fourth quarter was particularly bad at down at 4. We do expect to still see mix headwinds as 2016 plays out. I don’t anticipate that it would be for the full year as bad as we saw in the fourth quarter. We do have a comp challenge in the first quarter but as the year plays out things should get easier and while mix will be headwinds for the full year it should sort of get better than what we saw in the first quarter, we’ll see in the first quarter and what we saw in the fourth quarter of last year. 
Cameron A. Scott: Recall Tom first quarter of 2015, we grew frac sand shipments, coal was still relatively healthy, grain was healthier than what we saw as the year progressed into later quarters. So markets have really changed pretty dramatically from the first quarter of 2015. 
Thomas Wadewitz: So the mix comps might be similar to the volume comps that they get to be used your beyond first quarter. Maybe what…
Robert M. Knight, Jr: We’ll see. 
Thomas Wadewitz: Okay, thank you for the time. I appreciate it. 
Operator: The next question comes from the line of Jason Seidl of Cowen & Company. Please go ahead with your questions. 
Jason Seidl: Thank you, hey Lance, Rob, Eric, Cameron how is everyone doing. 
Cameron A. Scott: Jason. 
Jason Seidl: I want to go back on the pricing side and focus on intermodal and any of the truck competitive merchandise traffic that you are hauling. Clearly right now it seems that there is excess trucking capacity and all the data points at least we track are pointing to truck pricing going down both contractually and on the spot basis, how should we look at your ability to not only price but grow the intermodal business ex under the headwinds that we talked about with Triple Crown as we move throughout 2016?
Eric L. Butler: Yes, this Eric, Jason. So, a big reason as you know for kind of the shrinkage in truck pricing is fuel is coming down which is a major cause. So, our customers are also seeing a cost reduction benefit as fuel goes down because of the fuel surcharge going down. So they are seeing that natural cost reduction benefit. So the gap if you will between the value proposition for intermodal rail service versus truck I think that, that gap is still there in terms of intermodal providing a value proposition to manufacturers. We have talked in the past about just by laws of physics steel wheel on steel rail is a lower costing, rubber tire on asphalt or concrete. So there still is a value proposition there that we think gives us a leverage to continue to drive highway conversions which we demonstrated in 2015 and we are going to continue to focus on in 2016.
Lance M. Fritz: And Eric your team continually works with trucking companies themselves in terms of helping them with their cost structures and they look at intermodal conversions as an opportunity to modify their own cost structures as they compete in that marketplace and those opportunities continue as well. 
Jason Seidl: Okay, now that is good color. As I look on the Ag side, it seemed like there was a couple of puts and takes but net, net for the year, would you guys say you were positive or slightly negative for Ag?
Lance M. Fritz: Eric.
Eric L. Butler: I am not sure I understand the question. 
Jason Seidl: In terms of your outlook for 2016?
Eric L. Butler: Oh, we don’t give volume guidance for 2016. I think if you look at the Ag markets overall I think the Ag producers are expecting pretty good yields for 2016 of course depending on weather and number of acres planned in all of that. Maybe not record levels but pretty good levels. I think a large factor will depend on worldwide Ag production, strong dollar, and how competitive U.S. Ag is. In worldwide market there is a lot of corn, a lot of wheat in storage right now. And presumably as U.S. Ag becomes more competitive pricing wise in worldwide markets that's got to move and when that does move, presumably we as a transportation provider will have a benefit in moving in. 
Jason Seidl: Okay, gentlemen thank you for the timing as always. 
Operator: Thank you. Next question is coming from the line of Ken Hester [ph] Bank of America. Please proceed with your questions.
Unidentified Analyst : Great, good morning. Lance, I want to revisit one of the earlier questions in terms of looking back in market downturns and looking at the volumes, how do you figure out how to stay ahead of that in terms of furloughing employees and cutting -- dropping locomotives in terms of them being not -- I guess not overdoing it so you can catch that rebound. How have you acted differently this time versus whether it was at the end of 2014 and beginning of 2015 when we ramped up maybe too much and then versus what you saw in 2008-2009, maybe can you give us a little feedback in terms of how you prepped for that. 
Lance M. Fritz: Sure Ken. We have been clear historically about time lags in decisions that are just the nature of our business in terms of hiring somebody to operate a train. That is about a six month process. So, we have to by nature when we are planning crews look out 6, 12, 18 months. And when we are talking about capital planning or locomotive acquisitions those lead times get longer. So it all begins with our business planning process and making sure that we have tight connectivity between what Eric and the commercial team are seeing and then how we are boiling that into a transportation plan and the resources necessary to run it. Every time we see a significant shift in volume, whether it is significant growth or significant shrink we try to learn from that situation. As we are going into 2016 we think our business planning process is tighter, we think our connectivity between what Eric sees in the marketplace and secondary and tertiary indicators of demand more of that is being absorbed into our estimating process. And so I shouldn’t miss the opportunity to talk about also doing a better job of shrinking some of the timelines let's say in terms of hiring and bringing a crew on board or acquiring equipment. We are also better candidly at when we have to store equipments, storing it quickly and efficiently and we are also better at trying to find the right mix of the right employee base where they are located and training them for alternative jobs. So we are just getting a little better in all those ways and that adds up I think into a better posture overall. 
Unidentified Analyst : And to clarify that you don’t see that as rounding into like of 2008-2009 not that deep of a recession but into I guess so far what you seen doesn’t seem a recession environment to you?
Lance M. Fritz: Ken it is hard for me to speak and predict on whether the economy is going into a recession. Certainly our volume drop off as the 2015 year progressed quarter to quarter and as we are entering 2016 is dramatic and it is dramatic in historical reference but it is nothing, it is not approaching what we experienced in 2008 to 2009. I will tell again, a 6% decrease year-over-year and a quarterly 6%, 7%, 8%, 9% decrease year-over-year is pretty dramatic volume change. 
Unidentified Analyst : Great, if I could do a follow up just a quickly comment I guess yesterday or a couple of days ago one of the other rails noted your quotes on M&A and said that I guess prior you had talked about how it impacted Union Pacific and you are opposed to that. Maybe can you clarify your comments -- on your thoughts on industry M&A, why it would or would not matter to you given your operating in your own region, and does it -- in industry change impact Union Pacific?
Lance M. Fritz: Ken we do not support mergers or consolidation in the current environment. We think that the regulatory outcomes, the regulatory impact would be substantial. The Service Transportation Board has been clear. That in the next merger that they consider it has to enhance competition not just maintain it. It has to improve operations for customers and they also have to consider downstream impacts whether one merger triggers a string of consolidations. We’ve shared with you, we are focused on safety, we are focused on efficiency, we are focused on an excellent customer experience. We don’t think a merger enhances those efforts. Matter of fact we think it would have a negative impact on service and be a headwind disincentive to capital investment. 
Unidentified Analyst : Thanks for the time and thought, appreciate it.
Operator: The next question comes from the line of Brian Ossenbeck with JP Morgan Chase. Please go ahead with your question. 
Brian Ossenbeck: Yes, hi good morning, thanks for taking the question. So, obviously one area of growth year-over-year looks like it is going to continue into next year, but how much of that is attributable to Mexico and what type of impact do you see when it comes to we are seeing it is from reported first half be tooling and change over staff of the border and do you think this should really have an impact on your length of hall or mix of business in that vertical? 
Lance M. Fritz: Brian, before I hand it over to Eric I just want to say we are very bullish on Mexico in general in the long term. It’s a vibrant economy, it has got a vibrant middle class, and our access to the six primary rail gateways to and from Mexico give us a real great opportunity to participate in that economy. Eric?
Eric L. Butler: Brian historically Mexico produced about 1.7 million vehicles. I think full year 2015 the number is probably closer to about 2.9 million vehicles. I’ll call it 17.5 that were sold with all of the plant expansions and new plants I think it is on its way to 4 million or 4.5 million in the next call it year and a half to two years. As it has been said we have a great franchise for Mexico and we think that that will be a strong part of our business portfolio going into the future. As always, the issue is when the sales drive total volume and so our total volume will be aligned with whatever sales are. And our strategy is to have a franchise to move it wherever it is manufactured.
Brian Ossenbeck: Okay, then just quick on that, was it about 60% of your auto comes from -- is attributable to Mexico, I am remembering correctly?
Eric L. Butler: Historically, we've said that, yes. And that’s about what it was, yes.
Brian Ossenbeck: Okay. And then just one another quick one on train lengths. I think in the last call, you mentioned you have about 90%, about 70,000 foot capable I guess in terms of sidings. Third quarter is around 6000 foot average train lengths. So include you are highlighting some of the best ever lengths in three of the five areas. How much further and I guess how much faster do you think you can take that up and when would you hit the upper limit? I know it's different in every market and I guess the intermodals clearly got some headwinds here. But I think that’s really the one for good economics to really work, that’s when you really need to get the longer trains, so you might be simply focused on that and just some general comments about train lengths?
Lance M. Fritz: Cam, you want to talk a little bit about the productivity opportunity in train lengths?
Cameron A. Scott: Coal is about the only program that is nearly optimized although there is opportunities still within coal. Every other commodity group has plenty of train size productivity opportunity and you will see us continuing to make progress, balancing customer needs along the way.
Brian Ossenbeck: Okay, thanks for your time guys.
Lance M. Fritz: Thanks Brian.
Operator: Our next question is from the line of Matt Troy with Nomura Asset Management. Please go ahead with your question.
Matt Troy : Yeah, good morning everybody. I have a quick question about coal, specifically a lot of pushback we get from investors with respect to UNP specifically as you have a competitor who due to some service issues and perhaps much larger portfolio strategy has invested significant amount of CAPEX out West and there is concern given the structural market share loss in coal and the competitive dynamic has structurally changed in their favor. If I look at a 20-year market share chart of coal, you and the BN used to swap share and were about 50% each every year. And then in 2011, we saw a split and then again in 2014. So there has been roughly a 10% shift where what used to be 50-50 is now 60-40. I was wondering if you could just put some color around that. I know that there were service issues in your line last year, but even if I normalize for that spike, the line and the trend is pretty consistent over a five year basis. I am just wondering how you can address structurally the investor concerns that something hasn’t changed in the West as it relates to coal?
Lance M. Fritz: Yeah Matt, I think if you go back historically and go back to the '80s when really the Powder River Basin franchise was developed for us certainly in addition to our competitor, I think it’s been roughly call it a 55-45 split over time and as opposed to the 50-50. But we don’t look at markets in terms of what share we have in a market. We look at it in terms of what's the value of that market, what's the value of that franchise where we think we have value, a value proposition to offer the market and we sell our value proposition and we are comfortable with the outcome in terms of the business that we win or lose based on the value proposition that we sell.
Matt Troy : Right. So I guess, again in the context of people choosing to invest or not invest in your stock, if I look at the economy and volumes Burlington Northern positive on volumes last year in coal. Union Pacific down double-digit in coal. You are saying you are comfortable with that?
Lance M. Fritz: What we are comfortable with Matt, is the diversity of our franchise. Coal remains a nice book of business for us, generates an attractive return, that’s how we look at all of our book of business in terms of can we generate an attractive return and we invest for that and we price for that. And I think our track record speaks for itself. We’ve done a pretty fair job of making that happen. 
Matt Troy : Okay, understood. My quick follow up would be then if I look at down cash flow, you yourself said I mean reducing the CAPEX budget by North of 500 million you have got some other tailwind, you talked about bonus appreciations, pretty material number as in terms of incremental cash flow potential. You slowed the pacing of share repurchases in the fourth quarter. Just wondering with that excess potential cash flow in 2016, is there an opportunity to step up share repurchases, what are the guiding factors in terms of either debt ratios or what not, in terms of how aggressively you are willing to use what should be some surplus cash flow in 2016? Thank you. 
Lance M. Fritz: Rob do you want to take that. 
Robert M. Knight, Jr: Yes, Matt you are right. I mean our expectation coming off of certainly with last year's low number from cash flow that we will hopefully positively generate increase in cash flow. And yes, we’ll continue our philosophy of being opportunistic in the marketplace as it relates to shares. So I would expect that we will continue to do that. And as I called out by the way in the third quarter that was a high watermark if you will that we’ve seen at least in modern times of the rate of which we were buying back shares and that clearly was not our ratable rate in terms of shares. But we were opportunistic in terms of when we buy and how much we buy and that attitude and that philosophy will continue in 2016. But if we can generate stronger levels of cash that gives us greater opportunities and as we continue to walk up our debt to EBITDA as we said and as we have, it gives us further opportunity. 
Lance M. Fritz: Job one is generating cash from operations it all starts there and we are laser focused on that.
Matt Troy : Understood, thank you for the time. 
Operator: The next question is from the line of John Barnes with RBC Capital Markets. Please go ahead with your question. 
John Barnes: Hey, thank you for taking my questions. So following up on that question around cap or cash flow I hear what you are saying in terms of your opposition to M&A, but if it were to take place Burlington Northern has already said that they are going to be involved if there is a waiver consolidation. Given the cash flow that you are looking at generating in 2016 do you feel the need to maintain some of that is dry powder in the event that you were forced to react to a consolidation wave in the sector?
Lance M. Fritz: John in addition to saying we don’t support rail mergers at this time we’ve also said we’re paying close attention to the situation, we’re monitoring it and as things evolve we’ll do what is in the best interest of our shareholders and our stakeholders. If you look at our capital structure we are in a solid position strategically if we had to do anything. But what we are focused on right now is that in the current environment we think mergers are not in the interest of our customers and just monitoring that and keeping close tabs on it. 
John Barnes: Okay, alright. And then my follow up is look I hate to ask you a such a short term type of question but Eric you mentioned in your commentary from intermodal risk perspective, record high inventories and you talked a little bit about your thoughts on the consumer. We got the Chinese New Year kind of right around the corner. Normally there is typically kind of a surge in activity ahead of that, do you anticipate or are you hearing from your shipper base, customer base yet that there may be some intention to use that period as an opportunity to kind of clear the desk a little bit, maybe clear the baffles on inventory and so you come out of maybe 1Q in a little bit better inventory situation or do you anticipate that you will still see maybe that normal pre Chinese New Year type of surge in intermodal volumes? 
Eric L. Butler: We are hearing nothing specific from our shippers surrounding the Chinese New Year to disclose here. I would say that every BCO is looking at rationalizing their inventories because they expect the holiday season higher than I think expected on inventories with sluggish retail sales. I think across the Board you hear every customer talking about trying to right size their inventories. 
John Barnes: Very good, alright, thanks for your time guys, appreciate it. 
Lance M. Fritz: Thank you John. 
Operator: The next question is from the line of Justin Long with Stephens. Please go ahead with your questions.
Justin Long: Thanks and good morning. I was wondering if you could provide more color on the magnitude of the record productivity you noted in your comments and how much of that is predicated on a slightly down volume environment, in other words if volumes end up being worse than you expect this year, is record productivity still achievable?
Lance M. Fritz: I will make one quick comment and that is what we saw in 2015 was both cost coming out because of volume getting the structure right and a much more fluid network in the second half of the year generating excellent productivity opportunities. 
Robert M. Knight, Jr: Justin, I would just add, this is Rob, I would just add that kind of what gives us the confidence that marker that I would point you to is our improvement in our operating ratio throughout the full year and I am confident that we will continue to do that. In terms of at what pace we can do it, when they were all about doing it as quickly and as efficiently and safely as we can but what will drive sort of the timing of that productivity as we move with volumes is going to be the mix of factors and the timing of when do our volume changes. And as you know throughout 2015, the first half we are kind of chasing volume down and then we were able to sort of take advantage as things neutralize or straighten out a little bit in the back half. And so that will be a factor too in terms of what volume swings may or may not occur. But we are focused on squeezing out productivity as on everything we do and that's all I can point you to is that we will look at every stone and uncover it and look for opportunities. 
Justin Long: Okay, great. And I know you are not giving specific EPS guidance for 2016, but just putting together the pieces here slightly down volumes, core price increases, record productivity, better OR, the benefit of share repurchases just from a directional standpoint would it be correct to say that your thinking about EPS being up year-over-year?
Robert M. Knight, Jr: Rob, the reason I am not giving guidance on the earnings is because there are so many uncertainties of which mix by the way is another headwind I would remind you of that. I did call out and that will dictate I think in large part exactly how this year plays out. So with all the uncertainties out there, we are going to certainly focus and fight like heck to take advantage of whatever the economy plays us to turn in as positive of earnings and returns and cash generation as we can. But we are not giving guidance as to exactly what the earnings will end up being for the year. 
Justin Long: Okay, fair enough. Thanks for the time. 
Lance M. Fritz: Sure thing Justin. 
Operator: Our next question is from the line of Jeff Kauffman with Buckingham Research. Please proceed with your questions. 
Jeffrey Kauffman : Thank you very much. Lot of my questions have been answered but let me come back to the cash flow question if I can, could you remind us of where you ideally want to have your debt levels whether you think about them as a debt to cap or debt to EBITDA and when I think about the positives to your 2016 cash flow, you mentioned about 400 million bonus depreciation, about 500 million less spend on CAPEX and for better or for worse with the shares down the way they are you can buy back shares that won't cost as much to still get your numbers on the share repo. When you look at 2016 given the increased uncertainty, are you more likely to say okay, we are going to buyback whatever shares we are going to buyback but with the excess cash flow we just may not need as much debt to fund it or is your view that you are still under levered and you are willing to go to higher debt to cap levels?
Lance M. Fritz: Rob?
Robert M. Knight, Jr: Yes Jeff, I would just remind you that guidance that we have given which we are comfortable with is working towards that debt to EBITDA of 2x and we have said sort of that is marker out there. I think we still have a little bit of a room from the improvement we made on that metric in 2015. So I would expect that we will continue to march forward if you will and as I pointed out, we do expect largely because of a reduction in and we hope to generate stronger cash on the front end but we also have the benefit of lower CAPEX and the benefit of the bonus depreciation that I outlined. So, and we may do debt this year. When we look at that that would not be an unrealistic expectation that you will see us take on additional debt this year. All of that gives us additional -- gives us opportunities to generate stronger free cash flow and gives us opportunities to continue to be opportunistic in the marketplace.
Jeffrey Kauffman : Okay, and so basically you were saying we have -- I think you are at 1.7 times debt to EBITDA and you are saying we can go to 2x so we can take on a little more debt but more likely we would use the cash flow just to fulfill our obligations?
Lance M. Fritz: I don’t think Rob said that. I think he said we are going to generate cash, we have got room in our balance sheet and we will see how the year plays out.
Jeffrey Kauffman : Okay, thank you. Thank you very much sir. That's all I have. 
Lance M. Fritz: Thank you. 
Operator: Our next question is from the line of Ben Hartford with Robert W. Baird. Please go ahead with your questions. 
Ben Hartford: Thanks, Eric could you remind us what your percent of car loads yields are tied to the underlying price of a commodity that it holds? 
Eric L. Butler: I am not quite sure what you are asking. If you are asking about our pricing strategy and we don’t really talk publically about our pricing strategy. We have historically said we don’t think philosophically that need to tie transportation to slings in commodity markets, you have said that philosophically but we don’t talk about our pricing strategy publically. 
Ben Hartford: I’d say I guess I am not interested in the strategy specifically, is there a percentage that you provide of car loads that have the yield component that is specifically tied to the price of the underlying commodity?
Eric L. Butler: Yes, again that we don’t talk publically about our pricing strategy. We don’t talk about what are -- how our prices developed. 
Ben Hartford: Okay thank you. 
Operator: And the next question is from the line of Cleo Zagrean with Macquarie. Please go ahead with your question. 
Cleo Zagrean: Good morning and thank you. I wanted to talk about mix in terms of length of haul. I’ve seen lengths of haul getting shorter this quarter not just for coal but also chemicals and industrials, is there a structural change going on, what are the drivers of that and where do you see that trend? Thank you very much. 
Lance M. Fritz: Eric, do you want to talk about that? 
Eric L. Butler: Our length of haul is down slightly this year and again it is other things that we have been talking about in terms of the mix headwinds with our coal business, some of the mix headwinds with our frac sand business, our long haul grain export business, those are all mixed factors that has impacted our length of haul which was down slightly this year. 
Lance M. Fritz: And I don’t think we see anything structural that’s some kind of long term trend. 
Cleo Zagrean: Okay, appreciate that. And then my follow up is tied to one of your comments earlier that you haven't seen the benefit from low oil prices that not just you but many of us were talking about, some kind of silver lining, so what are you hiding from your customers, do you get the sense or that they are postponing decisions just due to uncertainty or they are signaling to you that there is simply lower demand and what do you think might trigger both of the industrial economy that would reflect in your volumes and I know that’s a long question but maybe tied to that if you could discuss the way you focus your business development as a result? Thanks very much. 
Eric L. Butler: Cleo I’ll focus the answer on your question about not seeing the benefits of low oil. There is multiple moving parts in there. We are seeing capital investment occurring specifically along the Gulf Coast in our chemical franchise. Those investments just haven't yet turned over into operating units and so that’s a matter of time. That’s an end of this year 2017-2018 kind of impact. We are still hopeful for that impact. The other part of it is consumers doing something with the windfall of lower energy cost and that’s where it is really hard to see that showing through in the goods that we shipped for retailers. And their feedback is while maybe services consumption is relatively healthy, goods consumption isn't necessarily showing that. 
Cleo Zagrean: Okay, so then your business development remains focused in the chemical Gulf Coast footprint?
Eric L. Butler: Our business has a wonderful franchise that we’ve talked about. One of the wonderful parts of that is this Gulf Coast franchise. And with low natural gas as a feedstock to many of those manufacturers that’s a benefit to them and we think ultimately will be something we can participate when they increase production. 
Cleo Zagrean: Thank you very much. 
Eric L. Butler: Thank you. 
Operator: Our next question is from the line of Sami Hazboun with Investors Group. Please go ahead with your question. 
Sami Hazboun: Good morning, thank you for taking my question and I apologize in advance if any of these questions have been asked, I missed part of the call. With respect to the headcount reduction I see that its principally and obviously within the running trades of the TE&Y. Taking that a level above, are there any plans to review the support and/or indirect headcount as a consequence of the volume environment and I have a couple of other questions with specific volume things?
Lance M. Fritz: Sami, this is Lance. We in the third quarter of last year and into the fourth quarter we announced and executed an involuntary force reduction on our non-agreement to our management ranks and that has been executed. And then as we look forward, we continue to look for opportunity to get our overall structure sized right for the markets that we are serving. Attrition is our friend in that effort. We typically get an attrition rate of 7% or 8% a year and we will use that to our advantage as and if we need to continue to adjust our overall structural cost. 
Sami Hazboun: Thanks for that Lance. On the industrial side, with respect to frac sand, did you call out exactly how much of that was down and how much it now composes as a percentage of revenues?
Lance M. Fritz: Eric? Unidentified Company Representative We did in both the prepared remarks and I think in the materials that were sent out, we…
Sami Hazboun: So I just take minerals as mostly frac sand?
Eric L. Butler: Yes, the minerals is down 52% and the majority of that is frac sand. 
Sami Hazboun: Alright, thank you very much gentlemen. 
Lance M. Fritz: Thank you Sami. 
Operator: Our next question is from the line of David Vernon with Bernstein Research. Please go ahead with your questions. 
David Vernon: Hey, good morning. Rob I think you called out $0.11 headwind from fuel in the fourth quarter, have you guys thought about -- I am trying to range what we can expect from the fuel headwind for next year, I mean obviously there is a lot of moving parts to that as well but if you just assume that oil prices kind of stabilize here and we move forward, could you talk a little bit about how big the absolute steel headwind could be in 2016?
Robert M. Knight, Jr: Yeah, I didn’t put a number on the full year but it could well be a headwind. I did call out that the first quarter, remember that we had about $0.08 of positive last year. So, we clearly have that as a hurdle facing us as the first quarter continues to play out. Of course how fuel and the timing within an quarter will dictate exactly what that number ends up being year-over-year. But we do see that as a headwind certainly in the first quarter and could continue at some pace throughout the year. 
David Vernon: But similar to the volume comp issue, you would say that if oil pricing were to stabilize then worst than the fuel impact would be front-end loaded?
Robert M. Knight, Jr: Depending on what mix is and where the volumes actually are that's a fair assumption, yes. 
David Vernon: Okay, and then I guess just as a general question, it seems like on some of the published surcharge tariff tables fuel prices are getting to the point where surcharges actually zero out, is that kind of a correct read to those tables, or do you think that the fuel revenue will still got to be positive as we get through most of 2016?
Lance M. Fritz: Rob?
Robert M. Knight, Jr: Well as I said those are publically seen and the calculations for those you probably have an accurate calculation. 
Eric L. Butler: David, I am with Rob, I would just remind you and others that remember we have some 60 plus different surcharge mechanisms that have different starting points, different components, different timing mechanism around them so it is very difficult to draw any kind of a straight line conclusion. But clearly at these low prices some of them are totally new edge. 
David Vernon: Alright, excellent. Well thanks a lot for your time. It has been a long call and good luck through the next couple of tough quarters on the volume side.
Lance M. Fritz: Thank you David. 
Operator: Thank you. This concludes the question-and-answer session. I will now turn the call back over to Mr. Lance Fritz for closing comments. 
Lance M. Fritz: Thank you Rob and thank you all for your questions and interest in Union Pacific. We look forward to talking with you again in April. 
Operator: Ladies and gentlemen thank you for your participation. This does conclude today's teleconference. You may now disconnect your lines and have a wonderful day.